Operator: Welcome to Marsh & McLennan's Conference Call. Today's call is being recorded. Second quarter 2021 financial results and supplemental information were issued earlier this morning. They are available on the company's website at mmc.com. Please note that remarks made today may include forward-looking statements, including certain expectations related to COVID-19 and other matters. Forward-looking statements are subject to risks and uncertainties, and a variety of factors may cause actual results to differ materially from those contemplated by such statements.
Dan Glaser: Good morning, and thank you for joining us to discuss our second quarter results reported earlier today. I'm Dan Glaser, President and CEO of Marsh & McLennan. Joining me on the call today is Mark McGivney, our CFO; and the CEOs of our businesses, John Doyle of Marsh; Peter Hearn of Guy Carpenter; Martine Ferland of Mercer; and Nick Studer, of Oliver Wyman. Also with us this morning is Sarah Dewitt, Head of Investor Relations. I'd like to welcome Nick who became CEO of Oliver Wyman, July 1. Nick has led many of Oliver Wyman’s major practices in his 23 years with the business and look forward to seeing Oliver Wyman continue to grow and thrive under his leadership. On behalf of the Executive Committee, I also want to thank Scott McDonald for his many contributions during his distinguished  career at the firm. Marsh & McLennan had an outstanding second quarter.  We have a well-positioned and benefiting from an abundance of opportunities. We are stronger and have broader capabilities .  benefiting from what may be the strongest economic rebound, nearly four decades led by our largest region, the U.S. There is high demand for our advice and solutions in this time of uncertainty and in the face of challenging market conditions.  We are seeing a  to quality and stability, which is contributing to high levels of business growth and client retention. And it's helping us attract talent. And there's a long runway for growth as we think about major protection gaps around the world, new emerging risks, digitization, workforce of the future and under penetrated market such as small commercial. We are focused on capitalizing on these opportunities and I am proud of our execution in the quarter. We generated record second quarter revenue and earnings, the best underlying growth of any quarter in two decades  for an excellent year. The strength of our results was brought based with each of our businesses and virtually all of our major geographies, seeing an acceleration in growth. Our adjusted EPS increased by an impressive 33% and we generated margin expansion despite challenging expense comparisons.
Mark McGivney: Thank you, Dan and good morning. Our results were excellent with record second quarter revenue earnings, the best quarterly underlying growth in two decades, meaningful margin expansion and significant growth in adjusted earnings. Highlights from our second quarter performance included the strongest underlying  since the first quarter of 2003, the strongest in Guy Carpenter in 15 years, solid rebound of 6% at Mercer, and record reported underlying growth in Oliver Wyman. Second quarter growth and adjusted earnings per share was also impressive, rising at the fastest pace of any quarter more than a decade. Consolidated revenue increased 20% in the second quarter to 5 billion, reflecting underlying growth of 13%. Operating income in the quarter was 1.2 billion, an increase of 39% over the prior year. Adjusted operating income increased 24% to 1.2 billion, and our adjusted operating margin increased  to 26.4%.
Dan Glaser: Thanks Mark, and operator we are ready to begin Q&A.
Operator:  Our first question comes from Elyse Greenspan with Wells Fargo. Your line is open.
Elyse Greenspan: Hi, thanks. Good morning. My first question is on the organic growth outlook, recognizing the comps do get a little bit harder in the second half of the year, but, you know, the Q3 was still negative last year. So, I guess my question is, given what you know now, sounds like you guys are positive, but a little bit cautious about the economy. You know, is it possible, it sounds like it's still possible, we could see double-digit organic growth over the remaining two quarters of the year?
Dan Glaser: So, we obviously, as Mark was saying, we've got momentum, and we feel very good about how we're positioned, and we're not that fearful about the economy. We are fearful about continuing waves of COVID, but, you know, the economies have adjusted somewhat in many parts of the world and are more resilient certainly than they were in the spring of 2020. And so the impact, economic impact won't be as severe as what we've seen, even with continuing waves of COVID. I mean, last quarter Elyse, we said that 2021 growth would be at the high-end of our 3% to 5% range and possibly higher. I think at 9% underlying growth through six months, it's safe to say that we're in the higher category. You know, we feel very good about our position. We're going to have a very good year. And 2021 is just going to set a new base for us. We intend to grow revenues and earnings in 2022 as well. So, this is not going to be a one-year wonder.
Elyse Greenspan: Okay, that's helpful. And then my second question was on the margin side. So, you guys, you know, Dan, I think you both said that, you know, some T&E has not fully come back, but also, you know, the pretty impressive revenue growth helped drive that margin improvement as well. So, we think about the back half of the year and T&E coming back, can you just help us think through, you know, the resulting impact on the margins, especially if revenue remains strong, maybe the second half could also see some margin improvement?
Dan Glaser: Well, I'll start by saying that we absolutely expect margin expansion in the year, and this will be our 14th consecutive year of margin expansion. Margins are an outcome of how we run the business. I mean, we grow our revenue every year at a pace that's faster than how we grow our expenses. I think you may be overly optimistic about T&E really roaring back in the back half of this year. I think it's going to be very gradual, and slow, actually. And I think that companies, not just Marsh & McLennan will travel with more purpose and will be more thoughtful about traveling. And I think clients will expect the same of providers like ours.  And so, you know, we do expect and hope that over time, you know, T&E gets back to, kind of 2019 levels, but we may be quite a way away from that point-in-time. You know, we were very pleased with our margin expansion in the quarter. And as you said, that was driven by our top line like that's where it largely came from. And it helped us – that strong top line helped us overcome a comparable, which was a minus 5% expense . I mean, look at look at our –  are up 30 bips, but that's on top of 430 bips margin expansion in the second quarter of last year. So, we like where we are. We will grow margins for the year. It may not be every quarter, don't know that right now, but ultimately we feel good for the year. Next question please.
Operator: Our next question comes from Jimmy Bhullar with JPMorgan. Your line is open.
Jimmy Bhullar: Hi, good morning. So, just on organic growth, again, obviously you mentioned easy comps, were there any other tailwinds, such as maybe pent-up demand in certain industries or just the benefit of higher price hikes in PNC that might not repeat to the same extent in future periods?
Dan Glaser: Yeah. The high levels of growth were not just because of easy comps at all. I mean, Guy Carpenter’s comp was a 9 last year, you know, March was a 1. So, it was not exactly layoffs in terms of comps. I think that the real momentum right now, and the U.S. economy is getting stronger,  is well behind us and the combined organization is emerging from the pandemic stronger than what we went in and focus on our front foot. New business generation was terrific across the businesses. And our growth was broad based. Retention is strong, pricing is a tailwind, and we're benefiting from disruption and flight to quality and stability. So, there are a lot of factors that are that are underpinning our revenue growth, and we feel very good about revenue growth into the future.
Jimmy Bhullar: Okay. And then on share buybacks, I think you spent over 300 million in 2Q over 400 for the first half. And that's a higher pace than you typically did prior to the pandemic. So, is it more of a catch up from not buying back stock last year or is – should we assume this is going to be more of a run rate going forward?
Dan Glaser: We're not catching up with , every year is its own adventure. And ultimately, as we've said before, we start every period believing in a balanced approach to capital management, not that we'll spend the same money in each of our three principal buckets of dividend, and acquisition and share repurchase, but we don't have an approach that waited to one versus the other. And so share purchase in large part is a function of what our acquisition activity looks like, you know, every year might not be perfectly balanced, but the first half was pretty balanced.  I mean, our uses of 478 million of dividends, 434 of share repurchases, and 473 of acquisition. So, it is a balanced approach and I think you’ll see that from us. I mean, at the end, as Mark was saying, we have 3.5 billion or more to deploy. We are a cash generation type of company. So, this is again, not a one-year wonder. This is an every year, we're going to put money toward our dividend. We're going to grow our dividend. We're going to acquire high quality firms and we're going to buy back our own shares. I mean that's going to be year-after-year.
Jimmy Bhullar: Okay, thank you.
Dan Glaser: Next question please.
Operator: Our next question comes from David Motemaden with Evercore ISI. Your line is open.
David Motemaden: Hi, thanks. Good morning. I wanted to talk a little bit more about the expenses. Just the other operating expenses were up, you know, not as much as I would have thought. I mean, it sounds like T&E continues to be a benefit. That's not going to roar back, but still up only 6% year-over-year, despite a pretty favorable or pretty tough comp on the expense side. I'm wondering if there was anything else one off in there? And relatedly, I guess, you know, are you guys realizing more sustainable expense saves as a result of some of the operational changes due to COVID-19? Like, you know, real estate expense saves, and that sort of thing?
Dan Glaser: It's a good question, David. And we certainly are going to realize a number of efficiency gains over the next several years. And that's just, as you mentioned real estate more purposeful, T&E or traveling in general and hopefully  as well. Also, you know, we've been undergoing some significant modernization projects on technology and on operations, and so that – that will benefit us more in the future than it's doing right now. The biggest growth in our expenses frankly is compensation. And I think that's a good thing is, our variable cost is going up along with our growth.  We're in the market, we're hiring. I mean, the first six months of this year, our headcount has grown nearly 2000. Most of that is coming within Marsh, as they're capitalizing on the opportunity they see with their two biggest competitors having some element of distraction and uncertainty. So, you know, at the end, it's more expense related to headcount and expense related to compensation that's where the growth of expense is coming from. And we feel pretty good about that, you know, we can manage that over time. But we’re in the market right now. You know, building our business and building on already the industry leading pool of talent we already have.
David Motemaden: Great. Yeah, that's good to hear. I guess maybe just a follow up on that headcount. I mean, I think, you know, that's the 2,000 headcount growth this year is definitely more than I was thinking where I had thought, how much of a – how much of a tail does that have? Like, you know, is that something that you think can continue through the end of the year or is, you know, is that something that, you know, you have like this, you know, period of time where the consolidation is, sort of in, there's some uncertainty there, and you guys are capitalizing on that? And then once that's over, it's, you know, sort of back to normal course, where you guys are still getting talent, it's just not as significant.
Dan Glaser : I think talent begets talent. You know, people are attracted to work in environments with smart, creative, dedicated people. And the more people like that you have the more talent you attract. It's clear that the issues of Willis in particular, in Aon, are creating a short-term opportunity that will run its course one way or the other. I mean, I was just looking at the stats recently are hiring from Aon and Willis post, the announcement is three times higher on a net basis than it was in the 16 months prior to the announcement. So that's not going to run forever, but ultimately, we're doing our best to continue to build  and capabilities within our already formidable firm. Next question please.
Operator: Our next question comes from Meyer Shields with KBW. Your line is open.
Meyer Shields: Thanks. So, two questions I think related to what you were talking about. First, when you talk about the flight to stability, was that a headwind or a tailwind to margins in the quarter?
Dan Glaser : I think the flight to stability indicates that our account protection levels in our new business are higher than they otherwise would be. So, that would be a benefit in not only revenue, but a benefit to margins because the revenue is higher than it would otherwise be. It's not having an impact on expense.
Meyer Shields: Okay, perfect. And then obviously, the reinsurance, organic growth has been fantastic for a long-time. There are, you know, it seems like there are a lot of new companies out there. I was hoping you could give us a little bit more color on what's happening in the competitive environment?
Dan Glaser: You know, we're very pleased with Guy Carpenter’s performance over a number of years, but I'll hand off to Peter so we can dig in a little bit deeper. So, Peter, you want to take that?
Peter Hearn: Yeah. Thanks, Dan. Thanks, Meyer. We have, we've enjoyed a terrific run over the past several years. Our model is, you know, based on consistent growth over a long period of time, and we're able to capitalize on that model, as a result of a very compelling proposition. Disciplined around both sales and pipeline that have resulted in new business wins, and as we look at our new business wins, over the past several quarters Meyer, the amount of new business coming from new clients, has grown significantly, to the extent that in Q2 2021, that number was 56% of our revenue growth from new business came from new clients. So, you know, we're seeing continued growth based on the model that we built. Yes, there are a number of new challenger brokers out there, and we have to be mindful, you know, all of our competitors are worthy adversaries. But we believe we have a very compelling proposition that over a long period of time has produced sustained growth and opportunity for us on a continuing basis.
Meyer Shields: Okay, fantastic. Thank you.
Dan Glaser: Alright, thanks Meyer. Next question please.
Operator: Our next question comes from Brian Meredith with UBS. Your line is open.
Brian Meredith: Yeah, thanks. Two quick ones here. First one, Dan, I'm wondering if you could break down at Marsh? Just generally speaking, what the impact in organic revenue growth was from rate versus call exposure growth versus market share gains, just generally speaking?
Dan Glaser: If you can speak up just a little bit more? I got the question, but it was a little faint. I'll hand over to John, but, you know, I’ll just start by saying how thrilled we all are with – in our 150th year anniversary at the company. We could grow the GAAP top line by 20%. In Marsh in particular,  best growth in a couple of decades. This is a phenomenal overall performance. But John, you want to break down the growth a bit?
John Doyle: Sure. Brian, thanks for the question. As Dan and Mark both mentioned, we certainly benefited from the economic rebound, relatively soft prior year , proud of that growth in the second quarter last year during the . The pricing environment, Dan talked about it a little bit in his remarks earlier, about 50% of our revenue is sensitive to PNC pricing. While rate increases have come down modestly, compared to the fourth quarter of last year and the first quarter of this year, they held really where we're sensitive to pricings, where we get commission, but it's from a number of different areas. But I also want to emphasize that we executed really well in the quarter.  Our team is even as strong as it's ever been. They're highly engaged, focused on delivering for our clients. And the market remains challenging. It's, you know, again, while rates aren't nearly as much as they were before, they are quite difficult. I do think, you know, there's been a bit of catch up. You know, in some markets, there's a fair amount of new business. In our results, so whether it's in transaction risk in cyber or in construction, there are examples of where that is the case. But again, we're very pleased with the results in the quarter.
Dan Glaser: Anything else, Brian?
Brian Meredith: Great. That's great. Thanks. And then the second question is, Dan can you talk a little bit about, kind of the M&A environment here, kind of what it looks like right now and also have the issues that Aon and Willis have kind of run into with some regulatory approvals, has that at all changed your kind of strategic view of M&A right now?
Dan Glaser: No. It had no impact. Our philosophy in M&A is basically we like buying firms that are high quality with a leadership team generally remains in place, and recurring revenue streams, high cash generation, low capital requirements, and a history of success that sets it up for us, and then it’s really getting to know each other over a long stretch of time and figuring out, it's not us buying, and it's not them selling, we're deciding to come together. We believe the outcome for our clients and our people will be better together than separate. And that's the approach. Pipeline remains strong for us, throughout our businesses.  In fact, you know, last year was the highest acquired revenue within Marsh & McLennan agency, which as you know, has been more than a decade long, in terms of strategy building. So, we feel very good about that. I mean, obviously, there's a lot of capital in the world. So, you know, multiples are higher than what we would like. And we need to be very selective and very careful in our evaluation of pro forma results, because most of the companies we've looked at are private. But our strategy for a long period of time has been more of a string of pearls, not something where it is one mega type of acquisition, but it's building the company's capabilities.  Geographic have, you know,  JLT was an anomaly in some ways and it was perhaps our biggest acquisition in history. And  that acquisition, because we have been cultivating a broad relationship, for a long period of time. We were coming together, because we thought the combination was going to be better for clients, and you're seeing a manifestation of that. Growth is better, because of our combination with JLT, particularly in our specialty operation. And so, you know, that's, kind of where we are. Our thoughts on M&A have not changed.
Brian Meredith: Great. Thank you.
Dan Glaser: Next question please.
Operator: Our next question comes from Ryan Tunis with Autonomous Research. Your line is open.
Ryan Tunis: Hey, thanks. Good morning. I guess, just thinking about consulting, a couple of things. First of all, with Oliver Wyman, the 28 organic, just any color on I guess how you're thinking about that, any visibility on, sort of the back half of the year? And I guess, just within Mercer, it sounds it has been some focus on the call about comps becoming more difficult, is that obvious that the comps get that much more challenging there. So, I'm – maybe curious if you Martine could give us some perspective on, you know, sort of how business developed in the three months of the quarter and where we're at now, looking at the back half?
Dan Glaser: I’m glad Ryan that you have, sort of consulted. It is a big part of our business and a big part of our performance, you know, and I'll hand it off to Nick first and then over to Martine, but let me just say a couple of comments first. One, we've mentioned before, that Oliver Wyman will tend to be our fastest grower over long stretches of time, but with more volatility. And so yeah, look back to the second quarter of last year minus 13. So, we love , but ultimately you put them together, and it's 6% over one of the more difficult periods in recent human history.  And so yeah, we tick the box on that. And that's a terrific result. Mercer on the other hand, Mercer is in terrific growth businesses, health, wealth, career, and you know, Martine does some great underpinning work. And if you go back to the end of 2019, you know 2% growth, 3% growth, and 4% growth in sequential quarters, and then 5% growth in the first quarter of 2020. And then got  the pandemic as expected in some ways, and held up very well with a minus 3 throughout last year. So, Martine and Mercer are going back to, you know, a terrific result in the second quarter. It is sort of getting back to the same pace or getting back to the same processes that existed pre-pandemic. Let's start with Nick, and then we'll go to Martine. Nick?
Nick Studer: Thank you very much. Yes, as Dan said, we're thrilled with the performance. And as to where it's coming from, it's in an incredibly broad base. The growth in the quarter was highest in the regions and the sectors, which have been most adversely affected by the pandemic and then referred to the comp. The Americas, particularly the U.S. have seen a very sharp rebound in client demand, both through the economic conditions and business confidence rising materially, and if you take, for example, the transportation sector, which was the sector that suffered the greatest impact from the pandemic last year, springing back very strongly.  While a lot of outsides of the Americas growth in Europe and in the Asia Pacific region were also quite robust. And across all major industry groups financial services, consumer industrial healthcare, all actually going remarkably at similar rates. And you know what we do think the outsized growth in Q2 was an outlier, we see business confidence remaining high, as global economic conditions improve, and we see even some semblance of return to normality in some of the places we operate. And it is also applied this in the labor market for the skill set that our consoles possess. So, we have a decent outlook for the business for the rest of the year.
Dan Glaser: Thanks Nick. Martine?
Martine Ferland: Thanks for asking the question. Similar to Oliver Wyman the growth in the quarter really came all along the business and of the regions. But I think it's worth spending a moment  we have said through the pandemic, that this is where we have the most discretionary projects a little bit more connected to our Oliver Wyman would be operating. And it's absolutely come back. Times have restarted projects. There's a lot of demand out there. We’ve been helping clients with their post pandemic workforce. There was a war for talent out there.  So, demand for rewards, demands for skills, and skill sets, assessment, engagement, transformation, as companies accelerate their  to digital and newer technology. So that is sustaining our  business. We see strong sales, good momentum for the rest of the year. And I want to spend another moment on our wealth business, I think 4% growth in the quarter is, we have not seen that since Q4 2017. Again, all  in our wealth business did well.  In particular, our OCIO business, which is the part of the business where we implement asset management for our clients. And you see the flight to strong governance there, deep manager research, and combined with questions and helping clients with ESG and , the type of investment in modeling and the life balance  comments a little bit. And lastly on wealth, this is the year where the DB cards of our portfolio which you all know is in structural decline, and for some years, actually because same size becomes smaller than investment management solution. And we have in a portfolio than we can see that this should be providing some tailwinds as we go beyond 2021.
Dan Glaser: Thanks Nick, thanks Martine.
Ryan Tunis: Thanks. Got it. And then just a follow-up for Dan and maybe John Doyle as well, can you just, I guess give us an update on the strategic importance of using wholesale brokers on the PNC side and maybe how that's evolved over time?
Dan Glaser: Yeah. I'll take it and hand it over to John. It’s an interesting question. I think wholesale brokers in a lot of ways like the  in that, you know, they become quite specialists in a lot of different areas with some really good skills. Those are exactly what I think back in my career, what wholesale really meant 10 or 20 years ago. I think specialty placement might be more appropriate. But John, you want to talk about use of wholesalers?
John Doyle: Sure. You know,  it's largely focused on specialty capabilities. And the most part we use wholesalers when we need to access certain markets, certain specialty insurance,  in particular, respect their distribution access to certain  brokers. For the most part that happens in the United States, almost no utilization for us. Like I say in the United States, risk kind of originated from the United States. To some extent it happens in the London marketplace as well, but we have a preferred a relationship with a couple of other specialty wholesalers and focus our efforts making sure we're delivering the same quality outcome for our clients that we came back from utilizing our own teams.
Dan Glaser: Next question please.
Operator: Thank you.  Our next question comes from Paul Newsome with Piper Sandler. Your line is open.
Paul Newsome: Good morning, and congrats on the quarter. My question is about the potential persistency of some of these market share gains. I'm thinking about back to the JLT acquisition and it seemed to me there was a little bit of drag on organic growth for about a year as things sort of moved through the system and the integration happened. Do you think there's a read through to, kind of what's happening for you on a positive sense today that as you hire these new people, it really takes, kind of a year for the full revenue impact and so that's kind of how we should think about the benefit of the flight to quality? It’s kind of a year-by-year kind of effect?
Dan Glaser : Yeah, I would start Paul by saying, you know, we're an awfully big company. So, we make decisions to add to our talent, capability, and our broad capabilities, more generally, to build skill, content, etcetera. As opposed to necessarily saying, oh, that person is going to cost us this amount and we expect them to produce this amount over the course of the next couple of years. Your basic premise that will be to hire senior people that generally you expense first and then some revenue might come later.  Yeah, if the premise is true, as they get involved with the firm more broadly, but unlike some of the  firms, it's not just focused on, you know, this is a producer, this is what they think their book of businesses and you know, and we are buying, you know, that produce, that's just not how we operate. We're much more of a content culture building capabilities. But John what are your thoughts on that?
John Doyle: The market shares is a hard thing to measure. I've read some estimates of personal insurance premiums will grow about 10% this year. So, if you use that as a proxy for the market then, you know then, yes, we cannot share. You know, I mentioned earlier, we're picking up some new business, you know  construction, primarily. Our win rates are up  when I look at the success in RFPs, it's up compared to historical levels, and the number of offensive RFPs, defensive RFPs is considerably better, which it's been passed. All I think speaks to the quality of the time. And at the same time, we're investing in talent that's going to drive the future growth. So, we’re , we have good momentum, and we're excited about what that means for us .
Dan Glaser : Anything else, Paul?
Paul Newsome: Yeah, just a little bit more on the market share, it looks like it came everywhere in terms of gains, in your businesses, is that really a fair sense? Or were there some benefits 0 business that you ?
Dan Glaser: This is the  of business growth that we've seen, certainly, since I've been at the company. And so it is occurring in many different spots. And I would put it down to that one of our fundamental growth market, risk strategy and people, you know, companies whether you're in a large account segment, the middle market segment, as a small segment, if you work for an organization or government, you have to focus on those three things. They're completely relevant to how you approach the business. We've got competitive advantages that starts with the quality of our people, our culture. Large capabilities that got even further gone in through the acquisitions we've done over the last number of years, most notably JLT. And our global footprint, those are competitive advantages.  We don't have a lot of competitors in any way that can match up to those advantages. And we continue to acquire best-in-class businesses. Our number one focus is on quality, and history of success. And so that's particularly in middle market brokerage. And we've got all kinds of opportunities. We spoke about cyber, and climate in our scripts, for digital, small commercial, you know, risk awareness in general is much higher. And so, you know, we're – as I've mentioned before, the pandemic maybe brought us closer than we ever were before. We're more connected. We're more collaborative than ever before. And we're leveraging our combined strengths like never before. So, all of those factors come together and we are a more formidable force in the market. And we're going to win business. And you know, that's going to continue.
Paul Newsome: Thank you. That's great.
Dan Glaser: Next question.
Operator: Thank you. I would now like to turn the call back over to Dan Glaser, President and CEO of Marsh & McLennan for any closing remarks.
Dan Glaser: Okay. Well, that's a first. Okay, but I appreciate everyone joining us on the call this morning. I want to thank our 70,000 colleagues for their commitment, hard work, and dedication to Marsh & McLennan, and I look forward to speaking with you next quarter. Thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.